Jerry Su: Ladies and gentlemen, good afternoon. I'm Jerry Su, AUO’s IR Senior Director. On behalf of the company, I would like to welcome you to participate in our Fourth Quarter Financial Results Conference. I'm joined by four executives; Paul Peng, our Chairman and Group's Chief Strategy Officer; Frank Ko, our CEO and President; James Chen, Senior VP of Display Strategy Business Group; and our CFO, David Chang. The agenda is of today is this; first of all, our CFO will go over 2024 fourth quarter financial results. Our chairman and our CEO will then talk about our business updates and provide you with our visions. Then we will proceed with questions and answers. We have collected questions before the meeting and will address these questions in the first part of the Q&A session. After that, if there are still more questions, we will take questions from the floor. So that was the agenda for today. Now before I hand over to CFO, please allow me to remind you that all forward-looking statements contain risks and uncertainties. Please also spend some time to read the safe harbor notice on Slide Number 2. David, please.
David Chang: Good afternoon. I would like to go over AUO's 2024 fourth quarter financial results. Our net sales came in at NT$68.7 billion, down by 12% quarter-over-quarter, as polling activity for Displays subsided and consumer products demand lessened leading to decreases in shipments and revenues. Mobility Solution was affected by the weaker demand in markets except in China and delayed purchases by customers resulting in decreased shipment. Meanwhile, China's car market benefited from policy stimulus and stronger overseas sales leading to increased shipment helping to partially offset the drop in revenue. Vertical Solution; due to early procurement slower market demand and less than expected solar PV module demand, our Vertical Solution revenue dropped QOQ. In terms of profitability, due to the slower seasonality in Q4, decreases in sales in TV and monitor SPs and weaker market conditions for solar PV modules, our gross margin went down to 7.9%. OpEx was flattish QoQ. Op loss in Q4 was 3.3 billion. Due to a non-op gain of 4.8 billion from the sale of [Indiscernible], net profit attributable to owner of the company was 1.6 billion. EBITDA was 4.7 billion. EBITDA margin lowered to 6.9%. EPS in Q4 was NT$0.21. Now moving on to 2024 full year results, net sales for 2024 was NT$280.2 billion, up by 13% YoY. In addition to the contribution from BHTC which was included in the consolidated revenue since Q2, the increases were also attributable to Display’s demand recovery, more favorable market conditions, expansion in our business scale and the higher demand for automotive displays resulting in better performance in 2024 than 2023. Gross profit was 24.2 billion. Op loss narrowed to 8.5 billion. Net loss attributable to owner of the company was 3.1 billion. EBITDA was 25.6 billion. EBITDA margin 9.1%. Loss per share was NT$0.4. Moving on to balance sheet, cash and cash equivalents was 68.4 billion. Long term and short term debt combined was 118.3 billion. Gearing ratio was 31.2% down by 2.2 percentage points QoQ. Inventory at the end of Q4 was flattish QoQ. However, due to the drop in revenue, inventory turnover rose slightly to 49 days while still at a healthy level. Next slide. Cash flow, we generated from operating activities 8.8 billion in Q4. Depreciation amortization was 8 billion. Cash outflow from investing activities 6 billion. CapEx 7.3 billion. Cash outflow from financing activities was 2.6 billion, mainly due to net change in debt of 2.8 billion. Revenue breakdown by pillar. First of all, our Display BG lost 1 percentage point on the back of decreased TV and monitor shipment and amid the slower seasonality and weaker consumer application demand. Vertical Solution also lost 1 percentage point due to early procurement by customers, slower market momentum and a drop in solar PV module shipment in Q4. Mobility Solution at the same time gained 3 percentage points due to delayed purchases amid weaker vehicle market demand except in China leading to shipment decreases. However, in China, benefiting from the stimulus policy and increases in overseas sales, our shipment increased thus resulting in the revenue share gain from 26% to 29%. Next, our business outlook for the first quarter of 2025. For the Mobility Solution, due to fewer working days and seasonality, we expect the Mobility Solution business group to be to -- the revenue of Mobility Solution to be down by high single digit percentage point QoQ. On the back of stronger demand for ADP smart verticals and industrial and commercial display as well as smart surfaces, we expect Vertical Solutions’ revenue to be up by low to mid-teens percentage points QoQ. Lastly, for the Display segment, buoyed by the appliance trading policy in China and healthier supply and demand across the industry, we expect the Display segment to see revenue slightly decline QoQ, which is still better than seasonality. Thank you. This concludes my presentation.
Jerry Su: Thank you, David. Now we would like to turn over to Paul, our Chairman, who will talk about our business updates and our outlook.
Paul Peng: Ladies and gentlemen, good afternoon. It is very happy that we get to meet with you face to face again. We will talk about our future and look back at the cast. I'm very happy that we are here today once again and yesterday was the Lantern Festival, so let me take this opportunity to wish you health and prosperity in the Year of the Snake. In Q4, our revenue was NT$68.7 billion, down QoQ. However, it was up YoY showing that the industry was progressing in a more orderly fashion. The Display segment went through the traditional lower season last quarter, hence the QoQ drop. However, at the end of the year, China implemented the Home Appliance Trading program and energy saving subsidy program helping to boost demand, especially the demand for large size TV sets. Currently, Display is enjoying strong momentum and our Mobility Solution went down slightly in Q4, which was in line with our expectations. The only exception was the Vertical Solution as energy business was affected negatively by the policy. Industrial and commercial display demand was hit by macro uncertainties and depressed corporate spending. So our Vertical Solution was affected negatively by the energy business and weaker demand for industrial and commercial products. We expect to see some improvements for the industrial and commercial products in 2025. 2024 was the year that the entire world went through some fluctuations economically and politically. However, at AUO, our transformation efforts gradually bore fruits. We started to include BHTC in our revenue in Q2 and our revenue for the full year reached NT$280 billion, up by 13% YoY. We also got to enter the Tier 1 segment as an automotive solution provider, expanding our manufacturing and sales presence around the world. And we also are becoming much more complementary with BHTC in terms of utilizing our advantages and strengthen the benefits that we generated with the acquisition and consolidation with BHTC. For the next few years we're going to experience growth from the segment -- from the automotive segment. In 2024, the Display segment posted improvements and the Mobility Solution reached our target. For the Vertical Solution, we will have to work harder to deliver improvements. Basically, the energy business has been affected by the energy policies around the world. Last year, in Taiwan alone, the install base of Solar PV equipment lowered by 40% and our revenue slid by 60%. Going forward, we will strive for more purchase orders and more projects. In Q4, we had a revenue drop and our OP loss expanded QoQ. However, we had a non-op gain helping us to return to the black at the bottom line. For 2024, our gross margin and EBITDA also improved significantly from 2023. Of course, we still hope that we can return to profitability at the operating level. Although we have been working very hard last year across the company, we still didn't manage to return to the black at the operating level for the full year, so we will continue to work harder. Our goal is to become a much more financially steady company. Currently we have a robust financial structure and our inventory amount was flattish from the last quarter. If we look ahead at 2025, we don't think that the political and economic conditions will improve much from 2024. And there's also a very big uncertainty that is with one tweet, the policy on tariffs could change overnight. So we are constantly thinking how we can adapt to the changing environment. Let me talk about what we know and what we think will happen for sure. With the stimulus policy in China, including the energy saving subsidy program, the ICT products and also the automotive segment are getting a boost. Q1 is the traditional slower season, but this year we are expecting to see some growth sequentially and this means the normal seasonality will set in. Display will see some slight decrease in revenue in Q1, but recovery can be expected since Q2 as restocking demand increases in advance or higher seasonality throughout the year. Performance of the Mobility Solution will depend on the automotive market conditions, while demand in China remains strong. Last year the automotive market in Europe and in America was rattled by competition from China. While they are taking their steps and they are improving recently, we hope that more and stronger growth will materialize. For the Vertical Solution, we are accelerating the focus into systems and solutions for both of which we are expecting and hoping for double-digit percentage growth so as to improve our resiliency to the cyclicity of the market. For 2025, we will place our focus on improving our profitability, improving our cost structure and optimizing our product mix. Moreover, we will also have a tighter control on our OpEx. We had an increase in OpEx due to acquisitions and fab reorganization. For this year, we will impose tighter control on our expenditures while at the same time creating synergies through acquisitions and consolidation. As a result, we hope that we will improve better -- we will achieve better profitability and achieve more efficient cost control. Our view is that our OpEx has peaked and will go down progressively. As far as our management principles to go this year we will implement asset light model and continue to implement carbon reduction schemes. Secondly, we will not hoard inventory. As you can see, we have relatively healthy inventory levels. This will bring us a very important benefit. That is, as demand increases, we will have in hand the latest, the most advanced technology and products that deliver the strongest cost competitiveness. In July last year, I have shared with you a slide on the three pillars of our business. This time around I have a slide to share with you too but you will see there's a slight difference that is in the middle there are two additional two way arrows. This means that we leverage our display expertise and our core competencies to support and enable the development of the other two pillars. At the same time, these two pillars will help enable the growth of the Display segment by utilizing our core competency in the display technologies. So, these three are mutually complementary. Of course, each of them has their distinct missions. First of all, for the Display segment, it is aimed to create additional -- to create more cash flow to improve our profit because most of our depreciation comes from the Display segment. So we hope that we will strengthen the development of the Display segment to support the operations of AUO and the innovation of the other two pillars. Mobility Solution will be a very important growth engine. In addition to our organic growth in the automotive segment, which reached 20% plus of growth last year with the inclusion of BHTC last year, our Mobility Solution’s revenue increased by 60% plus last year and we are expecting double-digit percentage growth for the coming years. The feature -- the nature of Mobility Solution is that it has higher visibility, as we transform from a display provider to a provider of smart systems and Smart Cockpits. As Frank will share with you later, we demonstrated an entire car at the CES show this year to demonstrate our concept for the Smart Cockpit. Last year, on November 21st, our Board of Directors approved the resolution to incorporate Mobility Solution business segment and BHTC into a new company, AUO Mobility Solution Corporation, AMSC. So we will turn AMSC as an enterprise like business group. In the future the three pillars will be three companies. Display will be spearheaded by AUO; Mobility Solution by AMSC, Vertical Solution by ADP, and several of our Smart Solution entities. So for the three pillars for each of their operating performance and other achievements, we will be able to demonstrate the results more efficiently and also implement more well-defined objectives, and together we will work toward improving our performance. Of course, in terms of the incorporation of the new company AMSC, we currently do not have plan for listing AMSC, so there is no issue related to shareholder interest divestment. Besides AMSC, we also have ADP AUO Display Plus. Under ADP, we have Smart Retail, Education, Healthcare, Enterprise Solutions and we also have smart services. For example, we have smart services from AUO Environment Envirotech, which specializes in water recycling and management and we also have AUO Digitech, which specializes in carbon emissions reduction services. So in the future we will have very specific, well-defined objectives and clear approaches for demonstrating the performance of each of our companies and entities. This will allow us to show clearly the resources allocated and the revenue achieved and the performance delivered. Besides our achievements from our operations, I would also like to share with you the results that we have achieved in the aspect of sustainability. With the slide, I would like to share with you that last year we were included in the DJSI for the 14th year and we were ranked at the top two in the subgroup and also yesterday it was announced in S&P Global Sustainability Yearbook that we were included as one of the companies among 7,000 plus firms worldwide and we were ranked among the top 5%. So it was quite a feat to be included in such a prestigious yearbook. Moreover, we garnered very good ratings in CDP and MSCI. Additionally, in terms of carbon reduction, we have set out our 2050 net zero imperative versus 2018. Our carbon emissions lowered by 39% in 2024. We also have set SBTI-based reduction objectives and are aiming to achieve 42% reduction between 2021 and 2030. In terms of revenue -- renewable energy utilization, through generating green power and the use of rigs, we reached an RE of 5.6% in 2024. We will seek to include offshore wind power in our power portfolio so as to reach the 30% RE target by 2030. Also with this slide, I would like to share with you that we published the world's and the industry's first nature related financial disclosures report in 2024, hoping to better and more effectively identify the impact of our operations on biodiversity and the environment. Secondly, our headquarters building was the very first one in Taiwan and also the first one in the panel industry around the world to achieve carbon neutrality and this was -- this has passed ISO 14068 verification. Moreover, today at the Board of Director meeting a resolution was passed, we will focus more on our operations and to have better utilizations of our assets. We have announced that -- we have decided to sell the east side fab of AUO Crystal, which is a 100% subsidiary of AUO at Houli, Taichung to Micron. Last time we have sold the west side of the fab. The total sale value of these two transactions will amount to NT$3.75 billion. AUO Crystal specializes in monocrystalline silicon solar PV chip manufacturing and also is a provider of semiconductor materials. We have decided at the Board of Director meeting today to maintain only the semiconductor material business going forward and the operations will be consolidated in our Taichung fab. So the Houli fab will be emptied out. For the first two years, going forward, some of the facilities will be leased back and the fab and the whole facility will be cleared out by 2027 -- year end 2027. Also we have decided at the Board of Director meeting to have a cash distribution of NT$0.3 per share from capital surplus and to buy back 2% of stock, which will amount to NT$2 billion to NT$3 billion. So going forward our dividend policy will characterize by assessing our free cash flow and returning some of the cash flow to our shareholders. At the same time, we will seek to adjust our capital structure consistently. So this is the announcement that we made this today. Let me comment on the Display market this year. In Q1, demand is quite strong, however, due to the fewer working days, especially during the Lunar New Year holidays, revenue is expected to go down slightly. However due to the home appliance trading policy and energy saving subsidy program basically sell through starting from October 1st to Double 11 festivals have been quite strong. The average size sold was 75 inch and bigger sizes also enjoying strong purchases, some even more than 100 inch. With size migration, large generation fab capacity is being consumed quickly, plus panel makers are manufacturing products in a more orderly fashion. They are making their products based on demand which will lead to more virtuous cycle across the industry. While our revenue in Q1 will go down slightly, however, demand is expected to grow sequentially. TV screen size will increase by more than one inch this year. A point for your reference is that an increase in screen size by every inch will consume an additional capacity of a Gen 8.5 fab. In terms of the IT segment, with Win 10 will reach end of life and the launches of AI PC will likely spur replacement cycle this year. During COVID, in 2021, the installed base of PCs alone increased by 60 million units and usually replacement cycle occur every four to five years. This year we will see some 250 million units of Win 10 PCs unable to upgrade to Windows 11, which will have to be decommissioned gradually. We believe that demand over the next two years will grow more visibly. However, there are still uncertainties including tariffs, geopolitical issues and war and tensions. So we will have to watch the market dynamics very closely and very prudently. At the same time we are relatively optimistic about the market conditions in our operations. This is also because we have set out much more well defined operating objectives for our three main pillars. When it comes to AI PC, last year, only a handful of models were released and not much splash was made in the market, but this year, brands are launching many more models, new models of AI PC. Also during the Lunar New Year DeepSeek was launched, which allows for more cost efficient and easier implementation of AI functions. This also means that AI PCs will be more affordable and much more ubiquitous compared with only high end models value at more than $1200 to be able to implement AI functions. So, in the future, AI PC's penetration rate will rise quickly. Meanwhile, the power consumption requirements of AI PC will be higher. At AUO, we utilize low temp poly technology and augment it with touch functions and we have been in the leading pack for these kind of technologies. When in use, the power consumption of LTPS is much lower than OLED. This allows the battery running time of LTPS low temp poly panels to be double than that of the OLED panels. Moreover, during manufacturing the power consumption and carbon footprint of low temp poly manufacturing process is also much lower than that of OLED panels. This is why we believe low temp poly technology will enjoy higher opportunities and more opportunities in the era of AI PCs. So in 2024 or in the fourth quarter of 2024 there were some changes to our operations and there are also things that we can -- we should have achieved better and we will make it -- we'll make -- will strive to do better. In 2025, we have set out new strategies and new plans. We will ensure better and more efficient resource allocation across our three pillars. At the same time we are reorganizing and revamping some of our fabs, seeking to revitalize our assets at the same time. Our hope is to improve our profitability to accelerate the improvement of our financial structure, including our capital structure, our debt structure and optimize our free cash flow hoping to deliver better returns for our shareholders. So this concludes my opening remark. I will now hand over to Frank who will talk about the operations and the outlook for the other two pillars.
Frank Ko: Good afternoon ladies and gentlemen. Paul has just talked about our operations and our business structure as well as our progress made in the Display segment. Now I would like to share more with you about the other two pillars, which are Mobility Solution and Vertical Solution. I'll be talking about their long term and short term goals and their current status. In the beginning of January in Las Vegas US, we exhibited our products at CES, but before I delve into more details, I would like to highlight that this exhibition has a very significant meaning to us. That is, it was the very first time that we joined hands with BHTC to exhibit at CES. We not only showcased the unique products of each of the company, at the same time we also demonstrated the achievements that we delivered through joint development over the past half a year. We exhibited a concept vehicle there to demonstrate the smart vehicle-based on Micro LED. In the Smart Cockpit, we equipped it with Micro LED to demonstrate the unlimited possibilities of Smart Cockpit going forward. We leverage the HDMI and mechanical as well as interfacing and many other functions from BHTC to demonstrate our vision for Smart Cockpit in the future. Here on this slide there are several photos. On the upper left it is the Horizon Image Glass which combines the dashboard, center console and passenger seat display in an integrated panoramic view. So it is both a display and a head up display providing in vehicle infotainment and at the same time it is a transparent display and is able to show the road conditions very clearly. The steering wheel is also foldable, which is in line with the self driving trend. So we apply Micro LED -- flexible Micro LED display to produce this kind of steering wheel. And in the middle, the upper middle is the Virtual Sky Canopy. It is the first -- the world's first large size transparent Micro LED displays integrated in the sky roof of a vehicle. On the upper right is the transparent interactive window. So Micro LED technology is applied in the car windows to allow passengers to engage with the road conditions in the outside world and also they get to be presented with navigation and shopping features. It provides AI interactive features. So with touch functions enabled and HAI, entertainment and simulation as well as shopping enablement can be provided. Also at this exhibition we collaborated with our ecosystem partners. We engage with a leading car window glass provider to enable this kind of light adjustable windows to enable privacy and ensure safety and to avoid sun's exposure. On the lower right is the morphing center control which utilizes the flexible and extendable feature of Micro LED technology plus the design capability of BHTC. This morphing center control is able to integrate the mechanical components with the sleek feature of the display, so the buttons can rise dynamically and which are also programmable to morph into a media for displayed images. For example, it can display essential vehicle information and also provide infotainment messages for passengers. In the middle, in the lower middle is the Micro LED Haptifold display. It utilizes the flexible feature of Micro LED to extend the screen to the sides to allow for a more intuitive experience. So, these showcases our capability to integrate our display technologies with mechanical components to deliver whole new innovations. On the lower left is a car, AFEELA, which is developed by Sony Honda along with AUO. On the exterior -- on the front exterior of the vehicle is the Micro LED media bar and this vehicle will be launched in 2026. Our media bar Micro LED display will also be launched along with the launch of this vehicle in the US. This is one of the key products being mass produced by our Gen 8.5 fab. The meanings of this exhibition this year are quite significant. This means that we are there as a one team, post the consolidation with BHTC, we demonstrated our innovations very efficiently effectively. Moreover, we got to collaborate with our customers. Compared with last year, the number of visitors from CAR OEMs increased by 40% and among them high level executives increased by three times. So this shows that customers recognize our positioning in the market after the consolidation and this also allows us to increase our opportunities to engage and communicate with our customers directly. After the exhibition, we continue to bring this new technology to other exhibitions in the vehicle industry so as to generate more opportunities. When it comes to the vision for the Mobility Solution, we completed the transaction with BHTC in April last year and there are some very ever interest in knowing about our results so far. Of course internally we are moving forward steadily. As Paul shared with you, we will set up a new entity called AUO Mobility Solution Incorporation which will incorporate the capabilities expertise of AUO and BHTC so as to integrate our resources and our capacities and build a more efficient supply chain and improve our competitiveness. Of course AMSC will also represent the fact that AUO will become a very unique entity combining Tier 1 and Tier 2 service capabilities and technology integration capabilities. We will be able to engage with OEMs in much more comprehensive ways. When we look ahead at 2025, we expect that the automotive market will experience slight increase this year. Of course EV and new energy cars will enjoy high growth, but when it comes to automotive displays, the number of automotive displays will likely increase by 3% to 4% this year but at AUO, we are not satisfied with mere the growth in volume. We are more interested in improving the actual profit and the quality of our services. Since Q2 we included BHTC in our consolidated revenue, we have seen 62% growth in our revenue ROI in 2024. Excluding the contribution of BHTC, AUO's organic growth in revenue is also very significant with revenue reaching NT$50 billion, up by 20% YoY. What's worth to note is that we have improved our product mix significantly including LTPS plus in Cell Touch, Mini LED backlight and display HMI products. Their share of display HMI also improved significantly this year -- last year. Because of the improvements in the product mix, going forward throughout this year we believe the premium product ratio will continue to increase allowing us to maintain low to mid teens growth in our revenue this year. We owe the achievements to our efforts over the past three years. The nature of automotive projects is that every new automotive solution project will not start making contributions to revenue until three years later. This means that when we secure new projects this year, we will have to see revenue contribution years later. Over the past three years, the combined project award secured by AUO and BHTC amount to over $15 billion which will help contribute to our revenue growth over the next few years helping us to maintain double-digit percent CAGR. Our goal is to become a unique provider with the capabilities of providing display products complemented by the expertise from BHTC as a Tier 1 supplier. As you can see from this slide from panel to Smart Cockpit increasing value add, we will be shifting from a mere panel module provider to also extend our presence in the display centric HMI segment to provide FIDM augmented with the technologies from BHTC to provide more comprehensive solutions including turn knobs and mechanical control functions combined with displays. This will also be more in alignment in the safety regulations and requirements of vehicles. Based on this vision, our goal is to provide Smart Cockpit. For example, we have new ECU products that utilizes our advanced technologies in displays such as Micro LED to enable more intuitive experience and deliver higher values. So you can imagine from left to right the unit price of each product will grow in multi-folds. This is also why we believe the revenue of our Mobility Solution business will exceed that of the average 3% to 4% growth of automotive displays. Now I also like to share with you our prospects at the Vertical Solution. Vertical Solution is characterized by smart field applications which is spearheaded by the Smart Display applications of ADP, which building upon the foundation of commercial and industrial applications. Moreover, we also have energy business built upon solar PV and also smart services in conjunction with digital transformation as the Green Solutions segment. Let's first look at Smart Display from Verticals. Last year, while industrial and commercial display see lackluster growth, we do have strong achievements from Smart Retail, Enterprise, Healthcare delivering 20% growth YoY and we are seeing the contribution of this segment growing continuously. Actually since the establishment of AUO Display Plus ADP, display centric solutions contributed to 10% plus to our revenue last year, so its growth potential and its gross margin are both higher than the pure display business. As for Green solution business, as Paul just shared with you, due to the impact of the policy on energy from the government, we saw negative growth last year. This year we will place more focus on the overseas markets. We will increasingly integrate solar PV panels into building materials and we will also seek more opportunities with AUO energy shop and to provide the products and solutions required by smaller sites so as to sustain the development of our solar PV business. Moreover, about AUO Crystal or ACC, we have just shared with you that we will be selling the facility of ACC for the second time to Micron. The gain from disposal of the fab will be used to support the reorganization of ACC. 80% of the company's revenue comes from solar PV -- mono-silicon solar PV and another 10% to 15% comes from semiconductor materials and with the sale, we will be winding down the mono-crystalline solar PV business of ACC to focus more on the testing of wafer and providing components and parts. We'll also relocate the manufacturing site in Houli to other facilities and continue to work with our key customers to pursue improvements in profitability and revenue. All in all, Vertical Solution faces temporary headwinds from the solar PV business, however, in terms of our revenue, if you look at the Smart Vertical Solutions and Green Solutions growth, we expect Vertical Solution to maintain double digit CAGR over the next few years. At the same time, we are seeing return -- recovery in demand for commercial industrial displays. These factors combined allow us to think that Vertical Solution will see growth in the first quarter. So let me sum up. Looking ahead at 2025, the display industry will enjoy healthier supply and demand. Buoyed by new demand and replacement demand, our goal is to achieve steady profit of the displays and improvements of our operational efficiency. For the Mobility Solution, we will accelerate our internal integration with BHTC and achieve greater synergies. We will also expand project award. Moreover, given the uncertainties from tariffs, inflation, war, we still target to achieve low to mid single -- low to mid teens percentage points growth and also to maintain double-digit CAGR over the coming years. The third pillar Vertical Solution, including the solutions from ADE – AUO Display Plus and our Smart services, we expect to achieve more than 10% of growth for 2025 and we are also setting the target to achieve double-digit CAGR over the coming years for the Vertical Solution. So these are my updates for the other two pillars other than Display.
A - Jerry Su: Thank you, Paul and Frank. Now we will address the questions that we collected from analysts before the meeting. The first question is financial related. Could you provide some color on AUO’s CapEx and depreciation and amortization for 2025? Will CapEx and depreciation amortization see significant decline in years ahead? What is the trend for 2026 and beyond?
Unidentified Company Speaker: Our depreciation amortization was 34.1 billion in 2024, which is on par with our guidance. We estimate that D&A will be around NT$30 billion in 2025 which will be down from 2024 mainly due to the expiration of the -- depreciation of some equipment. As for CapEx, 2024 CapEx was 26.9 billion, down by 4 billion from the 31 billion guidance that we provided earlier. The 4 billion will be carried over to 2025. Including the 4 billion, we estimate that the CapEx for 2025 will be no more than NT$30 billion. For the CapEx and D&A trend going forward, as we shared with you in the last couple of investor conferences, our goal is to allocate more resources toward the Vertical Solution and Mobility Solution pillars. We will be implementing asset light model. This means over the longer period, in the mid and longer term our D&A and CapEx will go down sequentially.
Jerry Su: Thank you. The next two questions are display related. What is the TV monitor and IT sell through in queue for 2024 and the outlook for 2025? How will China's increased efforts to boost consumption and the impact of tariffs affect demand in 2025? Is there a concern that early consumption could lead to a less busy second quarter or a weaker peak season in the second half of the year? Could you also please provide an update on the overall channel inventory for TV and IT products? James, would you please.
James Chen: Good afternoon. As Paul and Frank said, in Q4, with the home appliance trading programs in China and the peak season promotion activities in the West, TVs sell through was quite strong in Q4 and market sell through increased by 3% while YoY in Q4, increased by 8% with the large size models being the mainstream of sales above 85 inch or even in the range of 98 inch or 100 inch. Large size TV sell through, TV sets are very popular in China. We believe that this year going forward these products and the price points will be implemented and shift into the markets in Europe and America. So the demand for TV sets remains very strong and the inventory levels at channels have been quite healthy with bright outlook. With the demand for large size TV sets, capacity utilization requirements will also be quite significant. That is for the TV segment. As for the IT segment, while in 2024 commercial demand remained lackluster, in the consumer segment, with the demand for gaming products and the promotional activities from brands, there was 4% to 5% growth YoY in the fourth quarter. Looking ahead at 2025, with the expected sunset or EOL of Windows 10 and the increasing launches of AI PCs as well as the upcoming replacement cycle, we are expecting 4% to 5% growth for this year. However, as our customers told us they expect commercial replacement cycle to commence in the second half, helping to boost demand in the second half. So to sum up, demand for TV is quite strong this year and there are new demand signals for the IT segment and we are very optimistic about demand this year.
Operator: Thank you. We now open the floor for questions. [Operator Instructions]
Diana Chang: Diana from UBS. Good afternoon. Thank you for taking my questions. My first question is, as the American government continues to impose new tariff policies, which are impacting the prices and inventory stocking demand of the panel industry, have you observed any adjustments from your customers or from your supply chain partners? Also, do you have any plans to reallocate your manufacturing sites in the longer term? Are you also making any adjustments to your sales strategy? My second question is about the automotive segment. As you noted that you expect your revenue to achieve double digit percentage growth over the next few years and you are also enjoying increasing order streams, do we expect to see new progress? In terms of synergy creation, in terms of expenditures, moreover, at CES this year many products utilize Micro LED technology. Your views on the content improvements for the automotive segment and what do you expect the impact on the profitability to be?
Unidentified Company Speaker: Thank you for your questions for the tariffs. To be quite frank, we're not sure about the impact of the tariffs or the dynamics in changes of the tariffs because take Mexico and Canada for example, they were supposed to be imposed with 25% tariffs but seven hours before the new tariffs to be effective there was announcement that the tariffs will be delayed, so there is obviously room for negotiation. So it's up to the purpose of the new tariff scheme. Was it -- is it for improving security or to mitigate trade deficit or to improve its domestic manufacturing industry. In terms of the impact of the tariff scheme, before the tariff scheme was announced for Mexico, we made stock of our current operations and we found that the products that we produced in Mexico or the US bound shipment from Mexico of ours totals less than $200 million in revenue. Moreover, through the consolidation of BHTC, we now have manufacturing footprint around the world from Europe, East Europe, India, Taiwan, mainland China to Mexico. So we have presence in the major continents around the world. Even if there's any tariffs impact, we will get to make adjustments flexibly. Of course, the adjustments won't be made overnight because we still have to take into consideration the interests and the plans of our customers and supply chain partners. For example, we serve branded customers and we also have to work with OEM customers. How will these OEM customers deal with the tariffs? We will have to work with them. So we will have to pay close attention to see how our customers and supply chain partners cope with the tariffs schemes. That means we will have to pay close attention, but at the same time we will have to engage with our ecosystem partners very closely. But what I can assure you is that we will be able to mitigate the risk very dynamically and with the geopolitical risks and other uncertainties, we are placing these factors on top of our risk management priorities and we are constantly reviewing and discussing how to deal with them. However, I cannot tell you that we have a very solid solution. As I said, things are changing very quickly and all we can do is to be very agile to cope with the situation dynamically. But our advantage is that we have a full and comprehensive footprint around the world and we get to make adjustments and allocation resources very nimbly. About your questions on the automotive segments revenue and the synergies from the acquisition of BHTC, I would like to provide several examples -- recent examples. With the acquisition investment of BHTC, we have been able to make great progress. For example, in this wave of the impact from the changes of tariffs policy and changes in the supply chain, subsequently, we get to build a very comprehensive manufacturing presence so we are more flexible than our peers and we get to be complementary across our manufacturing sites. Secondly, we get to expand our business opportunities. In the past we have been able to deliver double digit -- nearly 20% growth for the past few years and last year we generated an organic revenue of -- an organic revenue of NT$50 billion. In the past we haven't been able to build close relations with European carmakers. However, after the acquisition of BHTC, we now have a much more comprehensive ecosystem relationship with European carmakers and we are also exploring new opportunities with other carmakers in other regions. Moreover, in the spec of commercial vehicles, which are very appropriate applications for Smart Cockpit, today, as labor cost increases and the demand for long haul transportation increases, safety costs also increase significantly. Because of these concerns, we have been able to secure orders from an US carmaker very quickly and we are also expanding our presence to India at the same time. For example, the number and the quality of carmakers that visited our booth at CES this year was the case in point that we have been able to improve opportunities to land new purchase orders utilizing the synergies created with the consolidation of BHTC. As for the cost reduction, we have shared with you that we expect in the next few years the cost savings will achieve $50 million, but now we believe the cost saving will be to the tune of $60 million and we are working to accelerate synergy creation and we will continue to improve our top line and create more synergies. If there's any new detail, any more progress made, we will share with you. As for the future growth, in the past three years the two companies, BHTC and AUO combined have secured more than $15 billion project awards, of 60% is attributable to our negotiation and engagement directly with the carmakers. This means that we'll be able to sustain our growth prospects going forward. Personally, I'm very positive about the outlook for Smart Cockpit. As AI becomes ever more lightweight and as AI expands from server to the edge, vehicles become a very good platform for the deployment of AI. At CES, we exhibited the Horizon Image Glass and car windows because we believe vehicles will provide the most comfortable virtual space. You don't have to put on AR glasses, you just have to sit in your car to enjoy the full panoramic virtual experience. So, vehicles are the best platform for enabling innovations. Smart Cockpit is very important inside of a car, but it's also as important in the exterior of the car because under the trend of self driving, for example, Tesla is promoting self driving taxis, it is very important to enable the interaction between inside and outside of a vehicle. For example, with AFEELA we are enabling more interactive functions and we are also discussing the possibility of enabling exterior display of vehicles to allow for interaction engagement between passengers and the outside world. For example, when you are charging your EV you can have a coffee, enjoy your time and at the same time, just by a look at your car you will get to see the progress of charging. These are all some examples where we can leverage the group synergy efficiently.
Diana Chang: Thank you.
Operator: Lisa, please.
Lisa Chen: Good afternoon. I am Lisa from Yuanta Securities. I have two questions also related to the automotive segment. You talked about the fact that your joint development with Sony Honda Mobility will see the launch of the car AFEELA in 2026. Could you share with us your components provided in the new car? More we talk about the sky roof, the Virtual Sky Canopy. This kind of technology is not available yet in the market. Could you tell us what makes this product so unique? What makes it so difficult to achieve technologically? Thirdly, with the sale of your Houli fab, you said you are going to shift into the testing interface of semiconductor products. Do you have any plans for the mid to long term? Are you making any plans in align with your existing products?
Unidentified Company Speaker: About our collaboration with Sony Honda on AFEELA, it is actually extension of our exist -- our long existing partnerships with Sony. We've been working with Sony on notebooks and TVs for more than 20 years. As the company enters into this new arena, they wanted to pick the best partner and AUO happens to be the best partner that fits their requirements. So we joined them in discussing and defining the design of the product. This is achieved through our 20 plus year of collaboration with this customer. Within this car, which is an EV, many cameras will be installed, which happen to be the strong suits of Sony. This car will be equipped with Level 2 or Level 3 capability very quickly. Depending on regulations, we expect that our collaboration will extend from the interior to the exterior of the vehicle because under the self driving trend, the requirements for Smart Cockpit or infotainment inside the car will increase and even working inside a vehicle will emerge as a new requirement and such functions will be incorporated in the car. As for the Virtual Sky Canopy, I think of course the first challenge is that it is very big in size because the sky roof is very big. The reason that we wanted to invest in the Gen 8.5 fab line is that we want to meet the requirements for large size Micro LED displays. Utilizing large gen capacity, we get to lower the number of displays to be assembled and to increase efficiency subsequently. This technology is derived from our technology that has already entered mass production. When it comes to applications on car windows, we have to make sure that the windows are vibration proof and are able to withstand temperatures and elements. These happen to be the advantages of Micro LED technology. As an inorganic technology, Micro LED is able to withstand harsh weather conditions. This is why we believe that automotive applications will be the niche application of Micro LEDs. If I may -- would like to add a few points to the acquisition -- to the sale of AUO Crystal, the sale of the fab is intended for reorganizing the business of AUO Crystal. Part of the plan is to wind down the solar PV -- monosilicon solar PV business and to increase capacity for meeting the demand of rising semiconductor demand. Of course, we don't have to support such kind of demand using a whole FAB or an entire set of facilities, hence the business reorganization.
Operator: In the interest of time, we will take one last question. Derrick please.
Derrick Yang: I am Derek from Morgan Stanley. I have two questions. First of all, you talk about your transformation from being a display centric business to be centered around the three pillars. Could you provide some color on your expected profitability in the form of OP, gross margin, operating margin or OpEx ratio in normalized conditions? The next question that I have is also associated with your transformation. You are shifting more focus to the two new pillars, but you have existing capacity in the Display segment. In addition to the sales of fabs recently, do you have any plans that you lined up? Could you share with us if you have any?
Unidentified Company Speaker: Thank you for the questions. From the perspective of the company, the purpose of having three pillars is to propel the company to achieve steady profitability because the panel industry suffers from very drastic cyclicity, this is very challenging for all the vendors. Given the current competition landscape, we hope we can gear our accumulated resources in the form of our customer relationships and our technology toward propelling the two new growth engines and the two new engines, in terms of the revenue, we are seeing steady growth in the two pillars. In Q4 last year, the Display’s revenue contribution lowered to 54%. In the entire year, in 2024, Display accounted for 55% of our revenue versus 57% in 2023. For the Mobility Solution, its revenue contribution has gone from 18% in 2023 to 25% last year and we are moving steadily toward achieving the 30% target. Vertical Solution accounted for 21% in 2023 and the revenue share lowered to 14% in 2024 due to solar business performance. However, for this year, with the growth potential of Smart Vertical Business, we expect it to achieve more than 20% of growth this year. So our hope is to lower the revenue share of Display business to 50% and below. This means that the other two should contribute to more than 50% combined and so this is our goal for the next two to three years. As for gross margin, our target for Mobility Solution and Vertical Solution is for them to reach low to high teens. For gross margin, the Display segment usually experiences more drastic changes, but our hope is that for it to achieve positive contribution to our revenue to gross margin. Going forward, we will advance our operational synergy and to achieve complementary benefits among the three pillars. Given our efforts to implement M&As and to upgrades and vitalize our fabs, in addition to asset revitalization, we have seen an increase in the OpEx over the past two years. These are the items that we have to improve on going forward. Moreover, we will have to advance our operational efficiency so as to improve our gross margin. The other question on our capacity utilization plan and whether there are further plans to revamp our fabs, one thing for sure and we have defined a task to carry it out is to dispose of the fab in Singapore. We have already prepared the fab and we are looking for a partner to buy the fab from us. Going forward, we will focus more on implementing premium and higher quality capacity and we will prioritize supporting original key customers that we have in the Display segment so as to enable stronger deployment of the other two pillars. These two new pillars will not be able to consume all the capacity, so we will still have sufficient capacity to support the requirements and needs of our Display customers. At the same time, we will continue with Go Premium strategy through leveraging our LTPS Technology, Touch, Integrated Capability and Micro LED applications. These efforts will also help us to improve the profitability of the Display business. Thank you. We embarked on the asset transformation from five or six years ago. At present, the total workforce of AUO reaches 40,000 or so. The number of indirect employees, above the level of engineers, are around 12,000 13,000 and more than 2,000 of them are not in the Display segment. This shows our achievements in terms of re-skilling and up-skilling as well as leveraging external hires and M&A to fill up the skill gap within the company. So we have been able to fill up our skills set through M&A to obtain new expertise. Today, more importantly, we have a very stable and steady strong management team. As you can see, we are seated here and many of you known us for many years. This shows that we have a very consistent management profile to enable this development and implementation of our strategies. Moreover, in terms of asset revitalization, revitalization is not just about selling the assets, it also calls for replacing the outdated with a more efficient and valuable. For example our long time fab, our Gen 4 and Gen 5 lines, we have already shut down all the Gen 4 lines and shut down one Gen 5 line because we want to accommodate the new micro LED capacity. For the fabs or lines that are not suitable for replacing with new technology, we will seek to implement premium or high quality high value added product technology instead. At the same time we will seek to implement revitalization strategies. Those without application -- future application potential will be subject to revitalization and sales to recoup investment in enable financial structural change or replenishing our working capital. So this will be part of our strategies over the next few years.
Unidentified Company Speaker: I would like to add some more comments to our profitability in OpEx and just to add to what Frank said previously in terms of the objectives or targets of the three pillars, the targets that we have for Vertical Solution and Mobility Solution is for them to achieve high teens to low 20s percent in terms of gross margin. For gross margin, as for Display, the target is for it to be in the single digit range. As for OpEx ratio, the OpEx ratio has been a bit higher over the past few quarters. In Q4 for example, it was 12.8%. For the full year of 2024 it was 11.7% due to our M&As and consolidation requirements in the initial stage because we want to support the development of the Mobility Solution and Vertical Solution businesses. So the OpEx ratio was already in the peak and going forward we will implement tighter controls of our OpEx. Also with the new teams in their position, we believe synergies will start to play out and to really materialize. So our goal for the OpEx this year is range between 11% to 12% over the mid to long term. Company-wide OpEx ratio should be at 10%.
Derrick Yang: Thank you.
Operator: Thank you. In the interest of time, this concludes our investor conference. If you have any other questions, please feel free to contact us at the IR department AUO. We'll see you next quarter. Thank you very much.